Operator: Good morning, everyone, and welcome to the MYR Group's Third Quarter 2012 Earnings Conference Call. Today's conference is being recorded. At this time for opening remarks and introductions, I would like to turn the conference over to Mr. Philip Kranz of Dresner. Please go ahead, sir. 
Philip Kranz: Thank you, and good morning, everyone. I'd like to welcome you to the MYR Group conference call to discuss the Company's third quarter results for 2012, which were reported yesterday. Joining us on today's call are Bill Koertner, President and Chief Executive Officer; and Paul Evans, Vice President and Chief Financial Officer. If you did not receive yesterday's press release, please contact Dresner Corporate Services at (312) 726-3600, and we will send you a copy or go to www.myrgroup.com where a copy is available under the Investor Relations tab. Also, a replay of today's call will be available through Wednesday, November 14, 2012 at 11:59 p.m. Eastern Time by dialing (855) 859-2056 or (404) 537-3406 and entering conference ID 53856841.
 Before we begin, I want to remind you this discussion may contain forward-looking statements. Any such statements are based upon information available to MYR management as of this date, and MYR assumes no obligation to update any such forward-looking statements. These forward-looking statements involve risks and uncertainties that could cause actual results to differ materially from those -- from the forward-looking statements. Accordingly, these statements are no guarantee of future performance. These risks and uncertainties are discussed in the company's 10-K -- Form 10-K for the year-ended December 31, 2011, the company's quarterly report on Form 10-Q for the third quarter of 2012 and in yesterday's press release.
 Certain non-GAAP financial information will be discussed on the call today. A reconciliation of this non-GAAP information to the most comparable GAAP measure is set forth in yesterday's press release, which can be found on our website.
 With that said, let me turn the call over to Bill Koertner. 
William Koertner: Good morning, everyone. Welcome to our third quarter 2012 conference call to discuss financial and operational results. I'll provide a brief summary of third quarter results before turning the call over to Paul Evans, our CFO, for a more detailed financial review. Following Paul's discussion, I will provide some additional information and an outlook for our industry.
 We are very pleased with our financial performance for the third quarter of 2012, which included significant increases in revenue, gross margin, EBITDA and earnings per share as compared to the same quarter last year. Revenues increased to $250.6 million in the third quarter of 2012 from $210.5 million in the third quarter of 2011. This represents an increase of 19% with all of this growth being achieved organically. Gross margin for the third quarter of 2012 increased to 11.8% compared to 9.4% over the third quarter of 2011, an increase of 240 basis points, which was primarily attributable to improved execution of our work and higher utilization of our fleet assets.
 Diluted earnings per share were $0.41 for the third quarter of 2012 compared to $0.20 for the same quarter of last year. This represents a growth of 105%. Our results for the first 9 months of 2012 are up substantially as compared to the same period last year, and we believe that we are on pace for an outstanding year, as we continue to benefit from the investments we've made over the last several years in workforce development, equipment and tooling.
 In addition to measuring our performance based upon revenues, margins and earnings, we evaluate several other fundamental performance measures both on a period-to-period internal comparison with ourselves as well as against our peers. We monitor such measures as growth in book value and tangible book value per share, EBITDA per share, as well as financial measures like return on assets, asset turnover, debt leverage and return on equity. We believe these are important financial measures when comparing companies who tend to be acquisitive by nature with those more focused on organic growth like MYR.
 We remain focused on improving the execution of our contracts, as well as winning new projects as they come to market. We expect the market for transmission projects of all sizes will remain strong over the next several years. In July 2012, the Edison Electric Institute increased its projections for transmission investment from $13.7 billion to $15.2 billion in 2013 and from $13.5 billion to $14 billion in 2014. The Edison Electric Institute projections are consistent with those of other key industry sources such as the Working Group for Investment in Reliable and Economic Electric Systems often referred to as WIRES, and the Brattle Group, which both estimate spending in the range of $12 billion to $16 billion per year through 2030.
 With that said, there have been fewer major transmission projects out for bid and award in the last few months. However, we expect bidding activity levels for projects of all sizes to remain strong over the next several years. We continue to be a disciplined bidder, targeting projects that best fit our resources and capabilities and provide attractive operating margins. We are pleased to see improvement in our C&I segment, including the highest quarterly revenue and the second highest operating margin in the last 11 quarters. In the first 9 months in 2012, we saw an increase in bidding activity in some of our C&I and electric distribution markets.
 Now Paul will provide details on the third quarter 2012 financial results, and then I'll be back to provide some additional insight on current market conditions and our perspective for the future of MYR. After that, there will be an opportunity for you to ask questions. So with that, Paul, please begin. 
Paul Evans: Thank you, Bill, and good morning, everyone. Yesterday after the market closed, we announced our 2012 third quarter results. As Bill mentioned, our revenues for the third quarter of 2012 were $250.6 million, which represented a $40.1 million increase over the same period in 2011. On a percentage basis, 2012 third quarter revenues increased 19% over the 2011 third quarter. From a segment standpoint and compared to the 2011 third quarter, T&D revenues increased $33.4 million to $204.3 million, and C&I revenues increased $6.7 million to $46.3 million.
 Focusing on the T&D segment, revenues were $170.5 million for transmission and $33.8 million for distribution in the third quarter of 2012. This compares to $127.1 million for transmission and $43.7 million for distribution for the third quarter of 2011. The third quarter 2012 increase in transmission revenues primarily related to a number of large transmission awards in late 2010 and early 2011 that were in various stages of their respective construction cycles during the quarter. The underlying contract costs on those projects included a greater-than-normal amount of subcontractor material costs.
 I'm frequently asked about the impact that subcontractors and material have on our revenue and costs, so I wanted to provide more information about this question today. Subcontractor and material costs can normally constitute 30% to 45% of the overall contract costs. With large transmission projects currently under construction, those costs are running at the upper end of that range. When our transmission projects include subcontractor costs, we normally expect to incur those costs in the early and mid-stages of the project's construction, when our subcontracts are clearing rights of way, building roads and digging foundations. Our utility customers typically furnish major materials such as the structures, conductor, insulators and other hardware for transmission projects. We do have a couple of projects under construction today where at least some of the material procurement is part of our scope, and therefore, it flows through both our revenues and contract costs. We use a percentage of a completion accounting method, and all components of the project, including subcontractor and material costs, carry the same estimated project margin.
 Now looking at our distribution business. Lower distribution revenues in the third quarter of 2012 related to a decrease in storm work of about $2.6 million and a decrease in work under our master service agreements over the same period in 2011. Bill will provide some additional comments on the storm work we are now performing in the Northeast relating to the impact of Hurricane Sandy later in the call. We will not be providing estimates of the impact of the storm work on our financials prior to the release of our 2012 full year results.
 As Bill mentioned, we are pleased to see improvement in our C&I segment, where revenues increased by 16.8% in the third quarter of 2012 from the third quarter of 2011. This increase was due to revenues from several sizable projects that started in 2012. Our overall gross profit in the third quarter of 2012 increased to $29.6 million from $19.8 million in the third quarter of 2011, and our gross profit as a percentage of revenue or gross margin increased to 11.8% versus 9.4% in the third quarter of 2011. The increase in gross margin was primarily due to improved overall project margins in both segments and improved utilization of fleet assets. In addition, the 2011 period included an increase in insurance reserve that reduced gross margin for that period by 1.1%. On a sequential basis, third quarter 2012 gross margin increased to 11.8% compared to 11.5% in the second quarter of 2012, 10.9% in the first quarter of 2012 and 10.5% in the fourth quarter of 2011, which reflects a longer-term trend of better job execution and improved utilization of our fleet assets.
 Third quarter 2012 SG&A expenses were $15.6 million compared to $13.5 million in the third quarter of 2011. The increase was primarily due to higher employee compensation and benefit costs related to greater employee headcounts. Our SG&A as a percentage of revenues was 6.3% in the third quarter of 2012 compared to 6.4% in the third quarter of 2011. Our provision for income taxes increased to $5 million in the third quarter of 2012 compared to $2.3 million in the third quarter of 2011. Our effective tax rate increased to 36.5% versus 35.3% in the third quarter of 2011. This increase was associated with certain adjustments related to state income taxes.
 Third quarter 2012 net income was $8.7 million or $0.41 per diluted share compared to third quarter 2011 net income of $4.2 million or $0.20 per diluted share. Third quarter 2012 EBITDA increased to $20.7 million or $0.97 per diluted share compared to third quarter 2011 EBITDA of $11.7 million or $0.55 per diluted share.
 Now shifting to our first 9 months of 2012 results. Revenues increased $205.1 million or 37.6% to $751.2 million compared to $546.1 million for the first 9 months of 2011. From a segment standpoint and compared to the first 9 months of 2011, T&D revenues increased $196.5 million to $625.1 million and C&I revenues increased $8.6 million to $126.1 million.
 To get some historical perspective on how our business has changed, in 2008, 45.6% of our revenues came from transmission. By contrast, for the first 9 months of 2012, transmission revenues represented 70.5% of our total revenues.
 Gross margin for the first 9 months of 2012 increased to 11.4% compared to 11.2% in the first 9 months of 2011. The stronger gross margin performance in the first 9 months of 2012 was primarily due to overall project margins, improved overall project margins on small- and medium-sized projects in both segments and to improved utilization of fleet assets.
 Meanwhile, the first 9 months of 2012 net income of $24.5 million represents an increase of 96.9% over the net income of $12.4 million in the first 9 months of 2011. Diluted earnings per share improved to $1.15 for the first 9 months of 2012, up from $0.59 per diluted share in the first 9 months of 2011. EBITDA increased to $58.4 million or $2.76 per diluted share for the first 9 months of 2012 compared to $34.2 million or $1.63 per diluted share for the first 9 months of 2011. Increase in EBITDA was primarily due to increased pretax income as well as higher depreciation expense reflecting our continued investment in our fleet.
 In the first 9 months of 2012, we invested $32.1 million in property, plant and equipment compared to $34.2 million in the first 9 months of 2011. We believe our strategy to invest in equipment and tooling will continue to contribute to better execution of the current projects and position us to capture additional business in the coming years.
 Total backlog at September 30, 2012, was $491.3 million, consisting of $391 million in the T&D segment and $100.3 million in the C&I segment. T&D backlog at September 30, 2012, decreased 40.5% compared to September 30, 2011. The decrease in our T&D backlog was primarily due to ongoing construction of several large transmission projects. C&I backlog at September 30, 2012, increased 56.6% compared to the C&I backlog at September 30, 2011. Backlog may not accurately represent the revenues that MYR expects to realize in any -- during any particular quarter. Several factors such as the timing of contract awards, the type and duration of contracts, and large projects that include a substantial amount of subcontractor material costs can impact our backlog at any point in time.
 As we have discussed on previous calls, some of our revenue does not appear in our quarterly backlog reporting. This is because the award of the project as well as the execution of the work can all take place within the quarter. In addition, we have some projects like the CapX2020 work in Minnesota where we anticipate performing major work for several years to come. However, the anticipated work is not included in our backlog due to the way the individual line segments will be awarded over time and how we account for backlog. Our backlog only includes projects that have a signed contract or an agreed-upon work order to perform work on mutually accepted terms and conditions. This may be different from how our -- other companies report backlog.
 Moving to the balance sheet. Stockholders' equity increased to $243.2 million at September 30, 2012, from $215.7 million at December 30, 2011. As Bill mentioned, we compare our asset turnover ratio to prior periods and against our peers. We believe this is an important measure when considering shareholder returns over the longer term.
 At September 30, 2012, we had approximately $16.6 million in cash and cash equivalents and $157.8 million in availability under our credit facility. Operating activities generated $22.7 million in cash for the first 9 months of 2012 compared to using $4.7 million of cash for the same period in 2011. Positive improvement related primarily to higher net income, higher depreciation expense and lower working capital needs. Our cash balance declined $17.4 million from December 31, 2011, largely due to our continued investment in fleet equipment and tooling and the payment of $10 million on our revolving credit facility.
 As of September 30, 2012, we had approximately $17.2 million in letters of credit outstanding under the credit facility and no revolving loans outstanding. We did not repurchase any shares in the third quarter under our share repurchase program, which became effective on August 10, 2012.
 In conclusion, our 2012 results are up substantially from 2011 with solid execution in our transmission business and good improvement in our C&I segment. With our strong balance sheet, we believe we are well capitalized for future growth on many fronts.
 Now I'll turn the call back to Bill for a discussion on the overall industry and some specific opportunities for continued growth. 
William Koertner: Thanks, Paul. While our construction management teams continue to focus on the execution of projects in various stages of construction, our estimating teams have been hard at work evaluating and pricing projects throughout the country. As noted earlier, we see ample opportunity for continued growth in transmission construction for projects of all sizes throughout the U.S., including new lines, upgrades and associated substation work. Our large projects group and our regional district offices have been busy responding to RFIs and RFPs for discrete projects, as well as alliance-type arrangements, also known as MSAs. These consist of multiple projects over a longer specified period of time.
 As noted earlier, we monitor a variety of information sources on transmission spending projections. They all point to a very bright future in both the near and long term for reliable, well-capitalized service providers like MYR. For market analysis and planning purposes, we'd like to break the overall transmission market down by transmission planning regions. This commonality among all regions is that they -- that relatively little money has been spent on new transmission and system upgrades over the last 20 to 30 years. Concerns over reliability, along with implementation of mandatory reliability standards, are driving transmission investment for the repair and replacement of aging infrastructure across the country.
 In addition, more transmission infrastructure should be needed to interconnect renewable power sources to load centers, and new transmission and upgrade needs should also increase as a result of the retirement and conversion of older coal-fired and oil generation plants to cleaner sources of energy.
 Furthermore, we anticipate that the eventual implementation of FERC Order 1000 will encourage merchant transmission investments to facilitate the movement in new transmission development across the country and contribute to a robust transmission market for years to come. A number of regional compliance filings for FERC Order 1000 were submitted on -- by the October 11 deadline with some ISOs and RTOs have been granted extensions up to 120 days for various reasons, so those filings will be made in the first part of 2013. Interregional planning and cost allocation methodologies required by FERC Order 1000 are due on April 11, 2013. The Order focuses on looking at interregional or big picture issues. This could help foster the evolution of the national transmission grid into something similar to an interstate highway system that can accommodate a large variety and volume of traffic at any time. 
 We continue to see new announcements of major projects and large spending initiatives in addition to the unprecedented number that we've been tracking over the last several years. On October 17, ITC announced the Great Plains expansion project plan for the Southwest Power Pool. The announcement proposed a package of high-voltage transmission projects assigned to relieve constraints impeding the export of excess energy capacity interregionally and includes 5 projects in 7 states in over 2,700 miles of new transmission lines. It will provide a solution to integrate a variety of energy sources and enhance the overall grid reliability and provide flexibility and opt out the SPP regional footprint. While SPP is in the beginning of a very long regulatory process that may take up to 5 years for -- before projects can commence construction, these types of projects bode well for the long-term outlook of the transmission market. This should be good news for contractors like MYR Group who have proven track records of on-time, within-budget performance for ITC. On Monday, October 22, the New York State Energy Highway Task Force released a blueprint supporting $5 billion to $7 billion in incremental public/private spending on energy infrastructure throughout the State of New York with a good portion of that amount targeted for transmission spending. While it may take time for some of these plans to come to fruition, the blueprint should provide a boost to an already strong outlook for the Northeast operations.
 We anticipate major project bidding activity that will be particularly strong in the Midwest and Great Plains regions. In the western part of the U.S, we expect some large project activity in the early part of 2013, with substantial increases later in 2013 and into 2014. As a major player in all of these markets, we are optimistic about winning our fair share of these opportunities. While we saw an increase in bidding activity in some of our electric distribution market, competitive -- competition remains extremely strong on distribution spending.
 Now I'd like to shift over to our C&I business. As I mentioned earlier on the call, bidding activity has increased in some of our areas, as have our revenues. Nevertheless, excess capacity remains within the C&I industry, as both large contractors pursue the available work. Although our margins within this segment increased during the third quarter of 2012 compared to last year, they are still below the historic levels, in part reflecting the strong competition in these markets. Our C&I market focus continues to be on health care, government office building, research centers, smart highway work, data centers mining and wastewater treatment. This makes us somewhat less susceptible to the slow economic recovery at the national level.
 I'm sure many of you are wondering what our role is in the restoration work for the damage done by Hurricane Sandy. First, let me say we are totally sympathetic with the plight of millions of people living along the coastline in the Northeast and in the mountains of West Virginia. The hardship they bore and in some cases, are still bearing is just unbelievable. We have deployed hundreds of our transmission and distribution employees, some from as far away as Colorado to assist with storm restoration. Our storm restoration crews are currently working for 8 utilities in 11 states in the Northeast. We appreciate the understanding of our customers outside the storm area who have allowed our crews to leave their existing projects to assist with the restoration. The duration of the storm work and its impact on our revenues and margins is difficult to predict. We do expect a benefit from the storm work. However, it does not represent all upside because the crews, for the most part, are being released from ongoing projects around the country to focus on the storm restoration.
 As always, we remain focused on creating value for MYR shareholders. We continue to monitor and make adjustments to our cost structure in an effort to ensure MYR remains one of the lowest-cost and highest-value providers in the industry. We believe that our cost structure, coupled with the steady focus on our market, will position MYR to maximize its potential as greater numbers of T&D and C&I projects move forward. We believe that our commitment to safety, high-quality customer service and on-time execution will ensure MYR remains a valued partner for utilities and C&I clients.
 That's it for now. As always, thank you for your interest and support, and now I'd like to turn the session over for your comments and questions. 
Operator: [Operator Instructions] And our first question comes from Dan Mannes with Avondale. 
Daniel Mannes: So first question on storm, I wanted to ask first on Q3. I know some of your peers, picked up a pretty nice chunk of storm work in the third quarter, particularly in the East region on the Derecho [ph]. It looked like you actually saw some annual decline -- some year-over-year declines. I was wondering just was it due to the duration of the storm or location that maybe you didn't participate in that one. Just if you can give some color there. 
William Koertner: Well, you're right about the numbers. We did not benefit as much as some of our competitors. I think it's mostly location, so it really isn't anything more than that. The storms that occurred in the third quarter were not quite as widespread to require a national effort to bring in resources from far away to address the storm need. So it's pretty much a location issue, Dan. 
Daniel Mannes: Okay. And then the follow-up is on storm, so for the fourth quarter, it sounded like, number one, it's fair to assume that your storm work should be up sequentially at least given the number of people mobilized. And two, as they are being released on existing projects, then while it may not be a net increase in revenue, that should theoretically, I guess, push some of the existing backlog, I guess, into '13 and beyond. Is that the right way to think about it? 
William Koertner: I think that's the right way to think about it. There should be a net increase in revenue. Obviously, if we're pulling people off of existing projects, we will not be recognizing the revenue on those projects, but we're moving people to the storm area. And as you can imagine, they're working many, many hours, so we and our competitors are billing for a lot of man hours, and we're billing for a lot of equipment so long as the restoration efforts are ongoing. 
Daniel Mannes: Okay. And then a quick transition to the bidding environment, there have been a couple of fairly large bids that have been announced, and some of them actually gone to maybe some competitors we -- that we hadn't been seeing being as successful. Have you seen any change maybe in the bidding environment from a pricing perspective? Or was it more just location, terms, et cetera? 
William Koertner: Well, there are some new players that have come in the market, and they've come in aggressively looking to build business. That's -- business is -- even though there's a lot of work out there, where there's money to be made, you got people trying to get into the business. So there are some new players that are entering the market and maybe entering regions that they have historically not competed in. That's probably more on point, but there still is plenty of work out there for the MYR with our long-standing core customers. So we feel really good about the opportunity for the next several years on the transmission front. 
Daniel Mannes: Sure. And then one final one, just closing out the loop on that topic and then, I'll jump back in queue. You mentioned bidding opportunities Midwest, Great Plains and then later on in the West. When you talk about the Midwest and Great Plains, are you talking current bidding? Or are you being a little bit more forward-looking into next year? 
William Koertner: Both. We see a number of good-sized project, maybe not necessarily ones that would rise up to the standard where we would put out a news release, but definitely, we see some near-term projects that are being bid. Some of which are under more kind of alliance-type arrangements, where it's not totally open to the world for competition. So we're seeing some near-term projects, and we're really very optimistic about the long term. 
Daniel Mannes: Would you consider PR-ing $50 million to $100 million awards in the future? Just given your size, that actually does move the needle? 
William Koertner: Yes, yes. If we got award in the $50 million to $100 million, we would put out some kind of announcement. 
Operator: Our next question comes from Tahira Afzal with KeyBanc. 
Tahira Afzal: Just wanted to ask you, the first question is really in regards to your C&I business. I know it gets less attention accorded to it, but I'm assuming you've seen some trends changing and so has some of your peers. And so just wanted to get a sense. Do you think these are sustainable changes as we look out to next year? And also with all the storms that have been coming, the utility commentary has suggested that maybe there are some notable changes that need to come out on electric distribution spending, which seem like they could be sustainably beneficial. So any commentary on those 2 things to begin with would be helpful. 
William Koertner: Sure. First let me focus on the C&I business. What's driven our C&I business recently and it's been a long-term driver, but we've really seen maybe some upticks here, would be on airport work, data centers. Our traffic group, which we roll up under our C&I group has been strong, and we've also seen some work in the Arizona market on mining as well as all of the intel work that's taken place in Arizona. So those would be kind of the underlying drivers of strength in our C&I market. On the electric distribution side, I guess I see it as 2 issues. One is what is going to be the near-term impact of all the storm restorations that will, I think, benefit MYR and several other contractors. And as I know the analysts will quickly quantify that and then factor it out as a onetime event, so that's one issue, but I do think it is going to be fairly significant for a number of contractors. The second maybe more powerful driver and we saw this a little bit last year with Irene, as those of you who live on the East Coast know some of the East Coast utilities got beat up pretty bad and accused of lack of preparedness, lack of tree trimming, lack of a lot of things, and that affected relatively few distribution utilities. This storm that we're trying to restore today is much broader. Many more utilities are involved, with their systems down, with their systems having outages for over a week. So I do expect some kind of political backlash to that. Not sure it's fair because I do think our -- the utility customers do a very good job of preparing for storms, but politicians being what they are, I think there will likely be some political backlash, and that could result in some feeder upgrading kind of work that would benefit a contractor like MYR. 
Tahira Afzal: Got it. Okay, Bill. And I guess the second question is sort of a follow-on to this commentary of yours. As you look out, you've clearly are doing a good job on execution on the large transmission project. As these projects get executed next year, you should see a nice amount of accounts receivable come and use your cash. So as you look out to next year, would you talk a little more about potential acquisitions in terms of timing, in terms of direction given that there seem to be a couple of nice, interesting markets developing upfront? 
William Koertner: So first on the cash side, obviously, the big projects all have retention provisions. Kind of the typical retention provision is 10%. We've been successful on some to cap that at lesser amounts and -- but the typical retention is 10%. So if you got a, let's say, $100 million contract that equates to at the end of the project, you get $9 million or $10 million tied up in the receivable on that project. So as these projects wrap up, we would expect to put that retention in our pocket. Your question about acquisitions, as you know, we've not been a particularly acquisitive company. That doesn't mean we don't look at things. We are constantly evaluating different opportunities, both within kind of our direct markets of transmission and distribution, but we've also looked at some things that would be a little bit further afield, it wouldn't be getting into something crazy like health care or computer stores or something. But we have looked at some acquisitions that would be a little bit outside of our core work. So we haven't pulled the trigger on anything. I wouldn't suggest that anything is eminent, but we do look at that. And as you know, looking at our financial statements, we have not had very much exposure to purchase accounting. Companies who are very acquisitive have a lot of purchase accounting decisions to make as how they attribute purchase prices to the various assets, what kind of liability accruals they set up and more importantly, how much goodwill they put on their books. And as you know, we have very little goodwill on our books compared to some of the peer companies that you compare us to. So that's probably a more complete answer than you wanted. 
Operator: Our next question comes from Andrew Wittmann with Robert W. Baird & Co. 
Andrew J. Wittmann: So wanted to just kind of touch on one comment that you made in your remarks, Bill. You mentioned that MSA was maybe a little bit softer there. Just curious, is that -- did you lose an MSA? Or are people doing more in-sourcing? Or is there just less work out there today? 
William Koertner: If I said there was a reduction in MSA, I misspoke. I don't remember saying that, but we have not lost any MSA agreements. Actually, there are probably more MSA-type agreements that we're doing transmission work under today than ever before, in the past, MSA has been pretty much focused on distribution spending. But there are a number of MSAs that we're working under today on this NERC reliability work. So if I said our MSA was down, I misspoke. 
Andrew J. Wittmann: Okay. Sorry, I think it was more applicable to the distribution side. Maybe I did hear it wrong, so I apologize for that. I also wanted to dig a little bit into the SG&A levels in the quarter. You got 10 basis points of year-over-year expansion, but revenues were up significantly more than -- it was up a significant amount. I'm just kind of curious as to your thoughts as to the opportunity on the SG&A side, recognizing that you did mention that you are making some adjustments to your cost structure. Just kind of wanted to see how that all goes together and what your expectations for leverage at the corporate level are. 
William Koertner: I'm going to let Paul answer that. He dissects our SG&A every month, and it is something that we are working very hard at keeping down, so we can leverage our SG&A for the benefit of shareholders. But Paul, you have any more color you want to share there? 
Paul Evans: Yes. Andy, what I'd say is just as with the last quarter, our SG&A was just at the right levels for the amount of business we had. I told people that I think we can leverage our SG&A further. I think our headcount numbers are at the levels they need to be. The dollars with them are at the right level. I mean this SG&A as a percentage of revenue can fluctuate quarter-to-quarter depending on what our top line is. But I think we're really at a good place where our SG&A is. I mean, it is true. It's up year-over-year, but I would think for most companies, if they got an expanding headcount as we do, they would see a similar type sort of thing happen also. 
Andrew J. Wittmann: So as we look at our models on a kind of go-forward basis, don't expect the same kind of increases. Should we assume that we're pretty close to a run rate for at least this revenue level or a little bit higher? 
Paul Evans: That would be the assumption I would use. 
Andrew J. Wittmann: Okay. And then, Bill, just quickly, any large projects that are out there that are maybe ahead of schedule or maybe running a little bit behind schedule? The one that clearly sticks out is the status update on the One Nevada Line, but any others would be appreciated as well. 
William Koertner: I don't really have any knowledge of things being sped up or slowed down. Rarely do transmission projects get sped up. In our case, on the Nevada One Line that we're working on, I think you know that, that project was shut down because of some engineering problems with the towers. The 2 owners, NV Energy and LS Power, have a solution to that. They're talking to their regulators about that. We're very optimistic that, that project will start back up in earnest at the first of the year. And we have throughout 2012, not stopped on that project. Now all of the roads are in. All of the foundations are in. All of the anchors are in for these structures. I think there may be just a little bit of work on a few lattice towers, so basically, what's left is putting the towers in the air and also doing the welding on the engineering fix that is being proposed on these towers. So first, weld the fix on the towers, erect the towers and do the wire work. The rest of the work continued on the original schedule, so we are optimistic that the structure setting and the wire work will start back up around the first of the year. 
Operator: Our next question comes from William Bremer with the Maxim Group. 
William Bremer: Paul, if I missed this, I apologize. Can you give us the breakdown of the transmission revenue and distribution revenue in this quarter versus last year? 
Paul Evans: Yes, bear with me 1 second. Revenues for transmission for the quarter were $170.5 million and for distribution was $33.8 million. 
William Bremer: Okay. All right. And then, Bill, can you give us a little color on the current pricing environment now as we're seeing some projects getting potentially awarded going forward? Is it -- can we feel though that pricing is getting better, say, versus 6 months ago, a year ago at this point? Is capacity getting taken out? 
William Koertner: In some regions, that would be true. I don't think it would be true to make that generalized statement. Pricing remains very competitive including on some of these big jobs that have been awarded recently. So -- but it's very much a region by region just like we compete for labor, region by region. There are some markets where labor is in very short supply. Other markets, labor is very available. Although as you would expect with the storms that have occurred for the last couple of weeks, labor has been acutely short all over, but that would be a temporary phenomenon. I imagine the next couple of weeks, these guys that have chased the storms will be back to their home areas in their home projects. 
William Bremer: Given the size of this storm and the magnitude, is it potentially -- could have an effect in your, say, your March quarter as well? 
William Koertner: Very likely not. I don't expect the restoration work to spill over into the first quarter, but with these storms, there's typically a lot of what I call kind of change orders that need to be resolved. And as we close the books for the fourth quarter, we'll be making an assessment of what meets our definition for revenue recognition, and if there are unresolved billings with clients, we will be making our best guess at that point in time. But if something is unresolved, I would expect it will get resolved in the first quarter, and that could lead to some revenue and margin recognition in the first quarter. Now one other part, and I alluded to Tahira earlier, what's happening now, where we're trying to get people's lights back on, there -- some of these fixes that we're putting in place are more temporary fixes, so I would expect more permanent fixes on some of these circuits. And when they get the engineering done and they got the material order, that should provide some benefit in '13, well beyond the first quarter. But specifically, I would think trying to resolve some of these billing issues on storm work, that has the potential of a first quarter carryover. 
William Bremer: Okay. Good color, Bill. And one follow-up for you, Paul, a little housekeeping, on the corporate expense line, pretty significant year-over-year increase, even sequentially. Was there any onetime items there that I possibly missed? 
Paul Evans: No, I don't think so. And again, I offer this color to you. If you look at the growth in our revenues relative to the growth in our SG&A, I mean clearly, we -- year-to-year, we've leveraged SG&A quite well. So I think we're probably at a good steady-state level now. 
Operator: Our next question comes from John Rogers with D.A. Davidson. 
John Rogers: A couple of questions. First of all, maybe I just don't understand this, but in terms of the margins, Paul and Bill, you talked about pricing being flattish, increased level of usage of subs as a portion of the business. Yet, the gross margins keep going up. Is that just execution? Or could you just explain that a little bit? 
William Koertner: It's really all of the above, including some pretty good execution. As you know, when we estimate a job and let's say it's 1/3 labor and equipment and 1/3 subcontractors and 1/3 material, which would be a rare job. We typically would not have that much material or subcontractors. So we might build the estimate by marking up the material a different markup than company labor and equipment, same way with subcontractor costs. At the end of the day, when we've got the estimate put together and if that overall weighted margin is 10% or 12% or whatever, that would be how we would recognize margin going forward until we became aware of knowledge that would say we needed to write it down or write it up. So that's pretty much how we approach it. 
John Rogers: Okay and in terms of the addition -- the -- your capital spending and your additional property and equipment, is that a decent proxy for how much capacity you're adding? 
William Koertner: Yes. I think it's a decent proxy, and we have definitely added many, many wire setups in the last 4 or 5 years, and our wire equipment, including the pulling equipment and tensioners and the tall buckets and the tall cranes, we own a lot of that and are continuing to buy some of it. And we don't have a lot of equipment sitting today, so I think it would be a good reflection. We're definitely not out trying to buy iron to go sit it on the back lot in hopes of finding work. We're trying to be smart about predicting the level of work going forward, and ultimately, it's important that we keep finding a home for all of that iron to keep it utilized. 
John Rogers: Okay. Because I'm just trying to compare that to, I mean, the runoff of backlog, and I know when you've talked about how you look at backlog and things, but obviously, I mean, it's indication that, I mean, you see opportunities to put this equipment to work. 
William Koertner: Yes. And we've, the same, responded to another question. There is a fairly significant amount of kind of quasi-negotiated work where there may be a tremendous volume of work in a region of the country, but it's being handed out in work orders. Some of which would be truly competitive bid. Some of which would be a more negotiated kind of work. We're definitely seeing more of that negotiated or limited competition kind of bidding than maybe what would have been the case historically. 
John Rogers: Okay. And just lastly, I know you said you'll give us a better indication at the end of the fourth quarter, but mobilizing for 8 utilities in 11 states in response to Sandy, can you put that in perspective to other storms or events that you've seen in the past? 
William Koertner: John, I've been at MYR for 13 years, and I've not seen anything like it. So I think it would be fair to say it would be greater than heavy storm activity of 2006, 2008 and not only for MYR but others, too. So it is a very widespread storm as evidenced. We're now, what, 10 days away from it and there's 600,000 customers still without service. So I think it's more significant than what I've seen in my 13 years at MYR. 
Operator: Our next question comes from Craig Irwin with Wedbush Securities. 
Craig Irwin: Most of my questions have been asked already, but I guess I can maybe take the line on backlog, see if we could dig in a little bit there. So in your presentations, you show 2 incremental areas on the CapX2020 project where you have crews mobilized. Can you confirm for us whether or not these incremental sections are already included in backlog, whether or not there was any addition to backlog relevant to CapX2020 in the quarter? And then you did talk about the SWIP project earlier in the call, but can you update us as far whether or not there was any incremental backlog added there? Or if that's something we can expect in the first quarter or if that would be added later on next year? 
William Koertner: Craig, I'm going to respond to your -- the second part of your question, and I think Paul can verify the facts on the CapX work. The SWIP project, we've submitted pricing to the 2 utility owners. They're evaluating that. We do not have a contract on it, so that would not be in our backlog at this point. So assuming the regulators approve going forward with the engineering fix and assume we ink a contract for the change order, I would think that would be a backlog addition in the first quarter. Paul, you want to? 
Paul Evans: Sure. Craig, thanks for referring to our presentation. With respect to the piece in Fargo, that's not in backlog, but the piece in the Brooking's line, that is in backlog in the sections that are in red. 
Craig Irwin: Excellent. Then, just as a follow-up, I don't know if you can share this with us given that your negotiations will be ongoing. But can you give us some rough estimation of size of incremental scope that you could execute on for SWIP? 
William Koertner: I can't quantify it for you. It will be a significant dollar value because a lot of what is occurring there has to be redone. I'll use one example. That job has got millions of dollars of water to sprinkle on the desert to suppress the dust. When we bid that job initially, we expected to go in, do all of the work and get in and get out and run water trucks during the -- for the sections that we were working on. A lot of that environmental work -- and I used water because I think everybody can relate to that -- virtually, all of that has to be duplicated because now we need to go back to the beginning of the line, change out structures and basically traverse the whole line, so that would be incremental costs. But in terms of quantifying what that means, as well as other cost increases, I can't help you. 
Craig Irwin: Would we be wrong to say something like tens of millions? Is that something that's too high? 
William Koertner: I don't think you'd be wrong. 
Operator: Our next question comes from Noelle Dilts with Stifel, Nicolaus. 
Noelle Dilts: First, I'd just like to get a little bit more granularity on your transmission revenues in the quarter. It looks like small to medium project activity declined at least sequentially. First of all, can you confirm that, if that's true and then talk about maybe if you think there's a reason why that's occurring? 
William Koertner: I'll let Paul -- he's got a couple of background things to verify it one way or the other. And see if he can key out any color. 
Paul Evans: Noelle, I don't know if that's the case. I don't know if I can go down into that sort of granularity. I don't know that's the case. 
Noelle Dilts: Okay. So what -- I mean we've been seeing generally small to medium projects kind of keeping pace with growth year-over-year with the large projects. Was that true again in the quarter? 
Paul Evans: Well, I mean, you did see -- if you sort of focus in on book to bill, you did see an uptick in book to bill from Q2 to Q3. So I think that's attributable to the type of work that we're doing. I mean we are doing some large projects, but there is a lot of small- to medium-sized work that's going on, and some of that work, as Bill said, is not really bid out. It's work that's negotiated or handed off to us. 
Noelle Dilts: Okay. Second -- given some of the discussions we've had on the subcontract -- the piece of the transmission projects that you're subcontracting, can you just give me some thoughts on if this is the -- where you want to be in terms of the level of work that you're outsourcing, that you're subcontracting out or if you're thinking about bringing more of this business in-house and what pieces of that type of work would be attractive to bring in-house? 
William Koertner: Well, as we look at both internally growing our capabilities as well as acquisitions, we're looking at vertical integration. We've already performed a lot of foundation work ourselves. We have the ability to expand that. We have the ability if we wanted to, to acquire businesses that specialize in that area. That would be something we'd look at. Some of the environmental work, putting in matting and so forth, we do some of it ourselves, but we could definitely expand it. So right up and down the food chain of what it takes to build a transmission job from road building to environmental work to foundations, there are potential expansion opportunities that we could internally expand or we could expand through an acquisition. 
Operator: Our next question comes from Min Cho with FBR Capital Markets. 
Min Cho: You actually answered my acquisition question just now, but curious if you're looking at any acquisitions in the C&I business. 
William Koertner: We have looked at some, but that probably is not as high a priority as other things we might consider. 
Min Cho: Okay. And it sounds like the acquisitions you're definitely looking to vertically integrate more, but what about geographically? Are you looking at anything in Canada? It sounds like there's a big opportunity there. 
William Koertner: We are looking at geographic as well as vertical kind of integration or acquisitions. 
Min Cho: Okay. And then just want to reconcile some of your commentary on distribution work. I thought I heard you say that year-to-date, you've seen increased bidding activity in electrical distribution markets, but you also talked about the kind -- the MSA work on the distribution side being down. You're seeing a lot of competition. Can you just clarify what you're seeing in the distribution market? I assume that's mostly MSA excluding the Sandy work right now. 
William Koertner: On the distribution side, there have been some alliances that have been bid, that would have distribution substation and transmission work in them. Our distribution work, well, several years ago, we were actually picking up market share. This business is very, very competitive. We have not chosen to go quite as low as maybe some of our competitors to gain new distribution alliance kind of contracts. So that would probably be the reason that you saw a little dip in our distribution work. 
Min Cho: Okay. And then my last question has to do with a prior question. I know that the storm work obviously displaces existing work, but are you actually pulling people from your transmission projects? Or is it purely on the distribution side? 
William Koertner: No, we pulled some people off of our transmission projects we're -- and we've even been forced to put some transmission equipment to use on distribution projects. The call for resources is quite great, and even though a tall bucket might not be the most ideal piece of equipment for a piece of distribution work, when you got this many people without electricity, there are situations where we've used some transmission equipment to assist in that. Certainly, there are many things like crew cabs, pick-up trucks and crawler tractors and equipment to transport equipment would be interchangeable between the 2, but we actually have some linemen who are capable of doing both transmission and distribution work and substation work. We have pulled some of them off as transmission projects provided it was acceptable with our client and have them working on Sandy. And as you know, these are not -- our employees are not indentured servants to us. Some cases, they're going to go to the storm whether they go with us or jump in some other contractor truck. So we need to really be smart to hold the people for the critical transmission projects that have critical outages. And I think we're doing a very good job of balancing, not only taking care of existing transmission projects that are under construction, plus providing resources for the storm. 
Operator: [Operator Instructions] We do have a follow-up question from Andrew Wittmann with Robert W. Baird & Co. 
Andrew J. Wittmann: I wanted to just touch base on the buyback a little bit. Paul, obviously, not active in the quarter, and I do know it's a partial quarter. But just curious as to your thoughts, was there a thought that maybe there's a near-term working capital? I mean I know that always has kind of first dollar priority or were you blocked out during the quarter. Anything that may have really kind of prevented you or somehow, I guess prevented you from being involved in the stock? 
Paul Evans: None, not at all. I mean it's a function of the grid that we have established to repurchase shares, and obviously, that didn't occur in this quarter. But there was no liquidity reason why we couldn't do it or no statutory reason why we couldn't do it. 
Operator: We do have a follow-up question from John Rogers with D.A. Davidson. 
John Rogers: I just wanted to go back to one thing. Bill, you talked about some of the projects, the larger projects that you're negotiating on now. Can you give us a sense of the timeline on when we might start to hear about this stuff? Is it spread all the way out through 2013? Or is it... 
William Koertner: John, when I said projects that we might be negotiating, they wouldn't be the larger press release kind of projects. They would be small or midsized jobs that would flow in and out of our backlog, and you'd never read about them because we wouldn't -- it wouldn't rise to the level of requiring disclosure on our part. So there aren't -- I'm not aware of any big, big projects out there that are being negotiated with us or anybody else. All the big projects, they're very broad sourcings that take place. 
John Rogers: Okay. And the extensions of work that you're doing, like CapX2020 and some of those, those will just come in as pieces, hopefully, in 2013? 
William Koertner: Yes, and there's no guarantee that we're going to get the extensions. A lot of that is performance driven. If we perform very well, I think the chances of picking up additional segments are very good. If our performance is not up to the expectation of the client, there could be some more competitive bidding take place. 
John Rogers: Okay. And I know that -- I mean you'd -- you've got your conservative approach on backlog, but I mean, just how low can this backlog go before you start to really worry about visibility? Because it seems like you're running the business for growth, and yet, we keep seeing these orders come down. 
William Koertner: We really don't have any answer to that. We obviously need work. We got all of our men and virtually -- most of our equipment employed today, but as these projects wrap up in 2013, we do need a home for our people and a home for the equipment. So we are aggressively canvassing the markets in both established regions where we've historically done a lot of work, as well as maybe some new regions. So it's a constant balancing act. You always need new work to keep going in. 
Operator: At this time, I'm showing no further questions. I would like to turn the call back over to Mr. Bill Koertner for closing remarks. 
William Koertner: Well, I'd like to again thank everybody for participating in our call. We remain pretty excited about the opportunities for our business, not just on the transmission side, but we feel good about the C&I and the distribution side of our business. So I don't have anything more, and I look forward to talking to you after we close the fourth quarter. 
Operator: Thank you, ladies and gentlemen. Thank you for your participation in today's conference. This concludes the program. You may now disconnect. Have a wonderful day.